Operator: Good morning and welcome to Oatly 2023 First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that this event is being recorded. I will now turn the conference over to Brian Kearney, Investor Relations. Please go ahead.
Brian Kearney: Good morning and thanks for joining us today on Oatly’s first quarter 2023 earnings conference call. On today’s call are Toni Petersson, Chief Executive Officer, and Christian Hawke, Chief Financial Officer. Jean-Christophe Flatin, Global President, and Daniel Ordonez, Chief Operating Officer will also be available for questions. Before we begin, please review the disclaimer on Slide 3. During today's call management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding our future results of operations and financial position, industry and business trends, business strategy, market growth, and anticipated cost savings. These statements are based on management’s current expectations and beliefs and involve risks and uncertainties that could differ materially from actual events or those described in these forward-looking statements. Please refer to the documents we have filed with the SEC for detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Also please note on today’s call, management will refer to certain non-IFRS financial measures, including EBITDA, adjusted EBITDA, adjusted EBITDA margin, and constant currency revenue growth. While the company believes these non-IFRS financial measures will provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Please refer to today’s release or the appendix of the earnings presentation for reconciliation to the most comparable IFRS measures. With that I’d now turn the call over to Toni.
Toni Petersson: Thanks Brian. Good morning everyone. We appreciate you joining us today. Before we get to the results, I would like to take a moment to discuss our announcement this morning that I will be transitioning from CEO to Co-Chairman of the Board of Directors. I have led Oatly since 2012, through both our global expansion and our IPO and I'm extremely proud of the work that we have done as a team over the last 11 years. I look forward to taking on a new and exciting challenge as Co-Chairman of the board alongside our current Chairman Eric Milou. And I have the utmost confidence in the future of this company under our new leadership. We are pleased that Jean-Christophe Flatin will become our CEO beginning on June 1. He joined us about a year ago as our global precedent and has done a great job implementing significant value creating transformations throughout the organization. He brings over 30 years of experience leading global high growth consumer brands and he has a strong track record of delivering both top and bottom line growth while also nurturing collaborative cultures. I have full faith that he will do a wonderful job and look forward to working alongside him as we continue to execute on our growth strategy. Moving on to our results. We delivered solid results in the first quarter and we believe 2023 is off to a good start. We made progress against each of our key 2023 priorities, accelerate top line growth globally, continue to make improvements in the supply chain and drive towards profitability, which we continue to expect to reach in 2024. As I said on our last call Oatly starting to play offense in 2023. And each segment is starting to play offense in its own way. Given the good progress so far this year, we are reiterating our 2023 guidance. You can see that we made progress of each of our priorities. Our constant currency revenue growth of 24% was 960 basis point acceleration relative to our fourth quarter growth rate. Our gross margin expanded by 150 basis points sequentially. And we improve our adjusted EBITDA both year-over-year and quarter-over-quarter. Page 8 lays out the EMEA segments 2023 priorities which we discussed last call. As you will see we make good progress against each of these priorities. Page 9 shows progress in the first two priorities. The total EMEA category growth remained quite robust with oats milk continuing to grow double digit rate on year-over-year basis. And our key markets of Germany, UK and Netherlands continue to post very strong market shares. We have also continued to sign up new customers in food service. You may have seen some of our recent press releases announcing some exciting partnerships and we've continued to sign new and exciting customers like the ones on this page. Moving to Slide 10 and our expansion beyond coffee locations. Our product portfolio is able to replace almost any type of milk whether you want an oat based milk for your breakfast cereal, or fruit smoothie for baking or any other use, we have delicious product for you to enjoy. You can see on this page that retail shelf now stocked and enhanced lineup. We are supporting these products with disruptive in store activations and media that educate the consumers on how they can use a product to replace dairy. We are very excited about this, as it increases the number of ways that our consumers can engage with our products. We intend to engage with consumers with an aggressive marketing plan in Q2 and Q3. On Slide 11, you can see some of the ways we'll be engaging with consumers. We will be supporting the expansion beyond coffee with the campaign across all our core markets in multiple types of media. In food service, we'll also be rolling out soft serve but introducing it to consumers at a variety of events and festivals across the EMEA. Finally, EMEA slide 12 gives you an update on our geographical expansion. These two markets are still a small portion of the segments total volume, but they drove almost a third of the volume growth in the quarter. This is very good progress so far and we're excited about what's to come. Turning to the America segment on Slide 13. Here we have laid out the America segments 2023 priorities that we discussed on our last quarter’s call. As we noted, we are pleased that this segment has improved its supply chain and is now able to be more aggressive on the commercial side. Let's start with the supply chain update on Slide 14. The transition to Ya YA food is going very well, which has largely been enabled by not only Ya YA operational experience, but also Ya YA hiring Oatly frontline employees. We are pleased with the progress and see that our service levels have remained in the mid 90s. The successful transition to Ya YA is enabling us to consolidate our co-packer network. In the first quarter we move quickly to terminate agreements, the impact of co-packers, we expect this consolidation to have material benefit on our cost structure as we're moving from the costly, inefficient situation we had to search far and wide for partners to a more simple and efficient structure that is lower costs. We expect the complete operational consolidation to be complete by the end of third quarter. Turning to Page 15. Here you can see that we are executing well on our commercials priorities. Given that our supply chain stable, we have been able to drive good distribution expansion in retail largely driven by an increase in the number of items for distribution point while also seeing good expansion in number of stores. You can also see that we have started to increase our promotional rates in the last few weeks of the quarter. We expect that our promotional rates will continue to increase in the coming month. Their promotions are not only intended to drive consumer demand, but they also send an important signal to our retail customers. They were confident in our supply chain stability and ability to serve as the demand. On the right side of this slide, you can see that our market share has started to improve in the most recent data. It's still early and we still have plenty of work to do but we are happy with the progress we're making. Slide 16 outlines some of the additional actions will be taken to support this segment. This month, we are launching two marketing initiatives that will kick off a series of brand building activations. The first is an unprecedented partnership with marks Oatly as the first ever plant based food sponsor of the U.S. national sports league. This multiyear partnership with a minor league baseball association designates Oatly as the official oat milk and non dairy frozen dessert of all 120 minor league baseball teams spanning Albuquerque, New Mexico to Portland, Maine. The sponsorship will include on field branding, stadium confessions, digital media and hundreds of sampling events that bring the plant based revolution to fans in cities big and small. And just this week, we call the dairy industry to action, asking it to follow all lead on publishing the climate footprint of its product climate impacts, just like we do on our packaging. We are executing this through high impact billboard and centerpiece spreads in the conference biggest markets. On Slide 17, you can see that we are even offering free advertising to any dairy company that dares to share the verify climate footprint of its product and match our standard of climate transparency. This is just another example of us starting to play offense in 2023. Turning to Asia on Slide 18, here we remind you that our priorities for 2023 includes expanding distribution, launching new products and driving efficiency. Asia has continued to see steady gains in food service via the coffee and tea channels and it has also seen rapid growth in retail. Slide 19 shows how our retail execution is a great example of two of our priorities, expanding distribution and launching new products. You can see on the left hand side of the page that we're continuing to expand distribution and retail with over 200% year-over-year growth in store count. Great progress by the team. You can also see here some recent examples of new product launches in both drinks and ice cream. In Q1 ice cream already reached approximately 7% of segment revenue driven by new SKU launches and strategic partnering with specific customers with special editions. In drinks we have several exciting new product launches. In Q1 we launched a Camila flavored ready to drink latte as well as multiple flavors of oatmeal in smaller packaging. And we are very excited about the anticipated Q2 launches of our ready to drink lattes that are co-branded with Pete's and Tim Hortons. Our team's ability to locally develop, design and produce these products to cater to the local consumers preferences is truly a differentiator for us. Turning to slide 20. The Asia team is making good progress on their efficiency programs. So far, this progress enabled by the significant year-over-year increase in both volume sold and volume produced locally. Now almost all of our Asia volumes is produced locally opposed to a purchase from EMEA. As we mentioned on last quarter’s call that Asia business saw an impact from COVID-19 at the very beginning of the quarter. This temporarily impacted demand, our ability to supply as well as our supporting functions in the office. The Asia team has recently launched several efficiency programs that we expect to reduce costs. We look forward to updating you on them in the future. So in summary, we reported a solid first quarter. We're making progress on each of our strategic priorities. We will continue to be disciplined in balancing growth, driving investments and profitability, and we remain on track to deliver on our 2023 guidance. With that I will turn it over to Christian.
Christian Hanke: Thank you, Toni. Good morning, everyone. Turning to the financials on Slide 23. You can see that we had a solid first quarter with year-over-year revenue growth of 18%, which was driven by constant currency revenue growth of 24%, which is an acceleration from the fourth quarter. We reported gross margin of 17%, which is an increase of 790 basis points compared to the prior year and an improvement of 150 basis points compared to the fourth quarter. Our adjusted EBITDA in the quarter was a $50 million loss, which was an improvement of $22 million versus the prior year, as well as an improvement of $11 million, compared to the fourth quarter of 2022. On page 24, you can see the total company sales bridge for the first quarter. We increased our revenue by 18% to $195.6 million and the 24% constant currency revenue growth was driven by a 9% increase in volume and a 15% increase in price mix. Slide 25 shows the sales bridge for each one of our segments. I will only call out a few notable items. EMEA showed strong volume growth in the face of the recent price increases as elasticities remained muted. The Americas saw a large price mix benefit reflecting three drivers. The price increase we took into third quarter of fiscal 2022 across all channels. An additional price increase we took within the food service channel and a positive customer mix benefit as we have strong retail volume growth and a positive customer mix in food service. Asia continues to show strong volume growth and the 1% increase in price mix was an improvement compared to the fourth quarter's 15% decline as promotional intensity moderated. Overall, we are pleased with the sales growth across each segments. Slide 26 shows the sequential quarter-over-quarter gross margin bridge for the total company. We have grouped the bridging items to be consistent with the margin bridge that we presented alongside our fiscal 2023 guidance last quarter. And we have provided a year-over-year bridge in the appendix of the presentation. Compared to the fourth quarter, we saw an 80 basis point headwind related to the COVID-19 environment in Asia. As Toni mentioned, there was an increase in cases early in the quarter which led to lower utilization and absorption. That headwind was partially offset by the lower promotional spend in Asia. EMEA price increases implemented in December of last year and throughout the first quarter contributed a 240 basis point margin improvement. We also saw 140 basis point benefit primarily related to customer and channel mix in the Americas. Cost of goods per liter saw a sequential headwind of 200 basis points. This is primarily related to the Americas which saw a negative impact related to costs from the co-packer network consolidation. We also experienced a slight headwind related to inflation which was partially offset by supply chain improvements in EMEA. Finally, we saw a 40 basis point benefit primarily related to segment mix and FX. We don't expect segment mix or FX to be a meaningful margin driver for the full year. Turning to slide 27. We are pleased to see that our EBITDA continues to improve sequentially in total. EMEA continued to report positive EBITDA the Americas made progress absent the noise caused by the co-packer consolidation. Asia continued to make progress as they transition to a post-COVID world and the corporate expense line has settled into what we expect to be a normal quarterly level. We also closed on the previously announced fundraising in mid April. We raised a total of $430 million which is $5 million more than what we announced on last quarter’s call with the difference being a slightly larger term loan. We are also excited to share that Hillhouse a global investment firm will invest $35 million in Oatly's convertible notes, pending shareholder approval and receipt of certain lender consents. Hillhouse will receive convertible notes with nearly identical economic terms to the convertible notes that we announced on last quarter’s call. Hillhouse is also buying $50 million of convertible notes from our shareholder [indiscernible]. Hillhouse has a great track record as a global investor with expertise in Asia, and an extensive portfolio of leading consumer and foodservice brands. They have successfully helped companies accelerate Asian growth and navigate regional complexities through capital investments, customer and partner introductions and support on strategic decision making. Oatley and Hillhouse have known each other for years, and I can confidently say there is a mutual respect and admiration. We see enormous potential in our relationship with Hillhouse not only financially but also strategically by leveraging their track record expertise and relationships to continue to scale our operations across China. While our business plan was already fully funded with the $430 million, we believe this investment aligns interest while providing us with additional firepower to augment our business plan and achieve our long term ambitions. Turning to Slide 28. As Toni mentioned, we are reiterating our 2023 guidance. We continue to expect constant currency revenue growth in the range of 23% to 28% with the acceleration driven by the initiatives that Toni discussed. We continue to expect sequential quarter-over-quarter improvement in gross margin, even with the increase in America's promotional support in the second quarter and to reach the high 20s in the fourth quarter. We also expect capital expenditures to be in the range of $180 million to $200 million. Finally, we continue to believe that our action will enable us to improve adjusted EBITDA profitability and reach positive adjusted EBITDA in 2024. As we move through this fiscal year, we expect second quarter adjusted EBITDA to be close to the first quarter’s level as sequential increase in net sales dollars and the sequential expansion of gross margin are offset by the increase in marketing investments in the U.S. as well as in EMEA. And then we expect the second half to see a more material inflection in dollar profitability. This cadence is consistent with our original budget. With that we are now ready to take your questions. Operator?
Operator: Thank you. Now we will begin the question and answer session. [Operator Instructions] First question comes from Michael Lavery, Piper Sandler. Please go ahead.
Michael Lavery: Good morning. Thank you, and congrats on your new roles.
Christian Hanke: Thank you.
Toni Petersson: Thank you, Michael.
Michael Lavery: Just was wondering if you could give us a little bit of a peek further ahead. You mentioned again, how you expect EBITDA positive in fiscal '24. Do you have a little better line of sight on how that unfolds? Would that be a run right at the beginning of the year or how do we think about just modeling a little bit further out? I know you don't want to be too specific and it's still a ways off. But just given that you've got some, seem to have some plans there, just any color you could add would be helpful.
Christian Hanke: So Mike, this is Christian, I can start and then anyone else in the team feel free to chime in. And as we have said, in our previous earnings called we expect to close the year enabling us to achieve a positive adjusted EBITDA on a full year basis in 2024. We are not at this point in time giving a quarterly guidance in terms of how that will unfold in 2024. So it's on a full year basis.
Michael Lavery: Okay, that's helpful. And just on the European food service opportunities and specifically the announcement with McDonald's. Can you give a sense of how much more doors that could open or any sense of how the start that's gotten off to or maybe just an update on how that can unfold? 
Daniel Ordonez: Thanks, Michael. It's Daniel here. Yes, it's early, early days, early weeks, is going really, really well. And what we can say at this stage is that there are many, there are some more in the making in the same profile of QSR and food service customers. But we're very excited about this McDonald's arrangement and partnership in Austria.
Michael Lavery: Okay, great. Thanks so much.
Operator: Thank you. Our next question will be from Rob Dickerson of Jefferies. Please go ahead.
Rob Dickerson: Great, thanks so much. Just a question. Two quick questions. One on America pricing, America's pricing clearly up almost 30% in Q1 but then there's the commentary around kind of leaning in a little bit more on promotional activity. So I'm just curious as kind of we get through the year it sounds like because of the increased promotional activity, we should see kind of a let's say a deceleration in the year-over-year pricing growth as we get through Q2 in the back half of the year. But at the same time, it does seem like it was a little bit higher in Q1 than expected. I think you were kind of pointing to more high teen. So you think about the full year, are you thinking America's pricing cut out, let's say mid teens? And then I also ask, just because supply is more beneficial we saw revenues on an absolute basis kind of flat sequentially, relative to Q4 and Q1. Is the expectation here that we start to see actual better volumes with also higher pricing such that we would see a material acceleration and absolute revenue dollars. And then I have quick follow up.
Christian Hanke: It's Christian I can start out and then I think Daniel will sort of add to it. In terms of the pricing mix it will decelerate throughout this year quarter-by-quarter. So I wanted to give that context. Daniel anything else to add? No.
Daniel Ordonez: Just to add some color to Christian, yes, we will see in the second part of the year that deceleration coming in that sales per liter as we lap our price increases. And as you said, we are improving given the availability and consistency of supply and field rates, we are improving and adjusting month after month, the promotional levels. And we start seeing some early good signals of that based if you look at the scan data of the month of April, we start seeing not only net sales, significant improvement, but some unit sales volume growth that we haven't seen for some time. So, yes, we see we expect these continuous sequential improvement as we move forward.
Rob Dickerson: Okay, super. And then just a quick question on the supply chain. It sounds like transition going well so far with Ya Ya, is there anything else potentially in the pipeline that could benefit from a similar transaction? Or do you feel as if at this point you're, you're fairly comfortable with what you have? That's it. Thanks.
Jean-Christophe Flatin: Thank you. Jean-Christophe speaking. I think we are fairly comfortable with what we have. We have no further updates today, because we are still evaluating options. As we have said in previous calls, both on Peterborough in the UK, as well as in Asia pack three, factory in Asia, simply because we are evaluating options as we speak. So the only bill that would say, is our long term margin targets that we shared with you guys in the last previous earnings calls are absolutely in line and achievable no matter which supply model we choose for them.
Rob Dickerson: Fair enough. Thank you so much.
Operator: Thank you. Next question is from Peter Galbo of Bank of America. Please go ahead.
Peter Galbo: Hey, guys. Good morning. Thanks for taking the questions.
Toni Petersson: Of course. [indiscernible] here.
Peter Galbo: Thanks. Thanks, Toni. Just maybe maybe we could start off just just on America's now that and maybe this is a good follow up to Rob's question. But just like now that the supply chain is obviously back on solid footing. Have you gone back and kind of reevaluated just your priorities between foodservice and retail on a go forward basis? I know you have this slide that kind of shows a 50/50 kind of revenue mix split in America is but just again, now that you're kind of back in more normal setting, just kind of how you're thinking about the split, maybe more on the volume side between those two channels going forward.
Daniel Ordonez: I will take that Peter. It's Daniel here again. Indeed as supply becomes stable we have ambitious plans on both channels. That's the reality. Right, so as you will remember in retail, we have ambitious plans in TDPs existing and new doors to accomplish this year. We expect some robust results as we move forward especially quarter two onwards and we also are moving ambitiously ahead in food service. So we expect, because of our recent past, the retail footprint to enhance versus food service. And with that, of course will come, but big part of the improve on margins that we expect this year. But as a headline, Peter, I would say, we have ambitious plans in both channels.
Peter Galbo: Okay. And then maybe just going back to the EBITDA profitability targets for '24. I know you don't want to get into quarterly guidance or phasing or timing on that, but just is there any way you can kind of help us bucket reaching that target of EBITDA profitability? How much of that is supply chain change? How much of that is mix improvement? How much of that is inflation getting better? Just what are kind of the big buckets and any kind of, I don't know, percentage you could assign to them? Thanks very much, guys. 
Christian Hanke: Yes. I mean, I can start, it's Christian here. I mean, it's the big driver is to continue to improve the utilization of our facilities as we grow our business. I mean, that's and then you will see the leverage on the operating expense side.
Peter Galbo: Okay, thank you.
Operator: Thank you. Next question will be from John Baumgartner of Mizuho. Please go ahead. 
John Baumgartner: Good morning. Thanks for the question.
Toni Petersson: Good morning.
John Baumgartner: Good morning. I wanted to come back to North America and your promotional plans and the increase its promotion there. How should we think about the balance between price based promos relative to investments in display feature more sort of a quality approach, just given what the category is right now the broader consumer, and how you're thinking about managing the promotional approach?
Daniel Ordonez: Thank you, John, it's Daniel again. Here you saw we're doing whole things as we consistently improved, and maintain fill rates and execution, we are improving promotions, and that is exactly the two things you have mentioned. First, we have to enhance our promo pressure given the competitive context. And we see some very good early results of that in the last scan data both March and April. And in store availability and visibility is key. Let me tell you this exactly what we do very well in Europe consistently in Europe which is our velocities significant improve when we have promotional displays and not just price promo. So we expect to do that as we move along. So just to stress, again, we're planning to do both now that we have consistent availability.
John Baumgartner: Okay, thanks for that. And then in Asia, assuming we're finally past the COVID overhang here. Could you talk a bit about your operating plans for the next six to nine months? And you seem to be in a position to leverage a lot of new distribution points built since COVID. You're working through some efficiency projects. But how is the environment or the opportunity changed since COVID? And how do you plan to reinvest as this market reopens now? Thank you.
Toni Petersson: Again, like we said last earnings call we're ready to play offense. China being a very dynamic, very different market from a consumer perspective. We are, as we are stating in our deckchair increasing significantly number of stores in retail we're going to continue to expand. Also we have a lot to do in rolling out our expansion and tea shop channels. All said we are going to execute on and investing in the brand continues to be important for us. But again, we have a very strong bet brand position in China, especially when it comes to coffee shop channel, tea shop channel, [indiscernible] and building our way into retail now, but also very, very excited about the expansion that we see an innovation, the Ma'anshan facility now allows us to bring a number of new innovation to really-really hit the consumer market directly and that we think will benefit us greatly. As an example 7% of our total shares in China comes from ice cream, so very happy with the development. The Ma'anshan facility is instrumental to our success there together with our brand position.
John Baumgartner: Thanks Toni.
Toni Petersson: Thanks.
Operator: Thank you. [Operator Instructions] Next question will be from [indiscernible] Please go ahead.
Unidentified Analyst: Thanks for the question and congrats on the new roles. First question is on gross margins. So it's nice to see this sequential improvement you posted this quarter. From what I understand that was roughly in line with your expectations. And I was hoping we could get a bit more color on the cadence you expect to deliver as you move towards that high 20% target for Q4, '23. Yes, in terms of how much extension we might expect, in 2Q versus 3Q versus 4Q, there's only one quarter that will drive most of that improvement and what the key drivers are? Thank you.
Toni Petersson: Thank you for that question. No, we don't really give specific guidance on the quarter other than that we'll sequentially improve each quarter this year until we reach the high 20s in the fourth quarter. I think we have articulated a few things. We expect to sequential improvement in second quarter, but we have higher promotional levels in the U.S. as well. So just wanted to highlight that piece.
Unidentified Analyst: Thanks. And then on capacity, can you give us an update on where your 2023 target stands and also how you would expect your utilization of your capacity to end up as you get towards the end of 2023? Thank you.
Christian Hanke: There's no change in terms of the capacity that we have on hand and what we have communicated before. So we expect to continuously improve the utilization of our assets as we are expanding our business. We have plenty of capacity to grow this next year.
Unidentified Analyst: Thank you very much.
Operator: Thank you. This concludes our question and answer session. I like to turn the conference back over to Toni Petersson for closing remarks. 
Toni Petersson: Thank you so much. This marks my final earnings call as the CEO of Oatly before I transitioned into my new role as co-chairman. When I joined Oatly in late 2012, we set out to transform the company and create a meaningful mission. And over the past decade, we took a small Swedish company to be able to global brand phenomenon that's making real impact on the food industry in the world. I want to take thank our investors, partners, customers, consumers and most importantly all employees past and present for the partnership trust and contributions. I couldn't be more proud of what we have accomplished and I'm eager to witness the incredible accomplishment that lie ahead for Oatly. Thanks for time and have a great day everybody.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.